Operator: Welcome to the Second Quarter 2015 Castlight Health's Earnings Conference Call. During the call, all participants will be in a listen-only mode. After the presentation, we will conduct a question-and-answer session. As a reminder, this conference is being recorded and will be available for replay from the Investor Relations section of Castlight Health's website following this call. I will now turn the call over to Charles Butler, Vice President of Investor Relations. Thank you, Mr. Butler, you may now begin.
Charles Butler - Vice President, Investor Relations: Good afternoon and welcome to Castlight's conference call to discuss our financial results for the second quarter ended June 30, 2015. With me on today's call are Giovanni Colella, our Co-Founder and CEO; John Doyle, our CFO; and Nita Sommers, our Chief Strategy Officer. Following their prepared remarks, we will take questions. Our quarterly report on Form 10-Q for the quarter ended June 30, 2015 and the associated press release were issued after close of market today and are posted on our website, where this call is being simultaneously webcast. We are also providing a PowerPoint presentation that accompanies this call. You may access it on our website, where it would also be posted after this call for 30 days. During the course of this call, we will make forward-looking statements regarding our trends, our strategies and the anticipated performance of our business, including our guidance for third quarter and full year of 2015. These statements reflect management's current views and expectations and are subject to various risks, uncertainties and assumptions. Please refer to the press release and the risk factors included in the company's filings with the Securities and Exchange Commission for a discussion of important factors that may cause actual events or results to differ materially from those contained in our forward-looking statements. Forward-looking statements made during this call are being made as of today. If this call is replayed or viewed after today, the information presented during the call may no longer be current or accurate. We disclaim any obligation to update or revise any forward-looking statements. We will provide guidance on today's call, but we will not provide any further guidance or updates on our performance during the quarter, unless we do so in a public forum. On the call, we will also discuss certain non-GAAP metrics such as non-GAAP gross margin, operating expenses, net loss and net loss per share that we believe aid in the understanding of our financial result. A reconciliation to comparable GAAP metrics on a historical basis can be found in today's earnings release, which is available on our website and as an exhibit to the Form 8-K filed with the Securities and Exchange Commission just before this call. With that, let me turn the call over to Gio.
Giovanni M. Colella - Co-Founder & Chief Executive Officer: Thanks, Charles, and let me also thank all of you for joining us today to discuss our second quarter business highlights. We had another solid quarter and are making good progress against our key strategic growth initiatives. Total bookings for the first half were well ahead of last year, due in part to our existing customers' purchases of products across the Castlight platform. The sale organizations continue to ramp and prepare for Q3 and Q4 peak selling season. We've made meaningful progress in improving pharmacy implementations, and we significantly expanded the Castlight platform with both organic innovations like Castlight Elevate and Castlight Pulse. And we entered in new partnerships to extend our offerings like our strategic alliances with Lyra Health. During the second quarter, we hosted our first Analyst and Investors Day. And the highlight of the event from my point of view was the customer panel that showcased the tangible progress that we are making by leveraging the Castlight Enterprise Healthcare Management platform. Two important themes emerged from the customer panel. First, they see unique tangible value in Castlight to effectively drive employee engagement and manage healthcare cost. And second, they described Castlight as a critical platform to integrate non-Castlight healthcare services and offering for their employees. We also had three customer summits across the country in the second quarter. As you know, these are annual events where customers and prospects gather to learn about enterprise healthcare management, Castlight's products and solutions and opportunities to drive strategic value to healthcare benefits. We had over 300 participants including existing customers and prospects, and the energy behind the adoption of enterprise healthcare management in the Castlight platform was very strong. John will review the financials in detail, but let me share with you some of the highlights from the quarter. We generated $18.5 million in revenues, representing growth of 76% on a year-over-year basis, and we added seven unit customers. Importantly, customer demand for our newest offerings and in fact the uptake of all our cross-selling products was very strong in the first half of 2015. As of the end of Q2, almost a quarter of our installed base had purchased three or more products from us and some have purchased as many as five. Additionally, our proactive strategy to focus on large enterprise customers continues to play out. Among the customers added this quarter were three Fortune 500 employers, including General Cable Corporation, and we now have 10% of the Fortune 500. It is our intent to maintain our focus on and continue growing our footprint in the key segments of the market. As we look ahead to the second half of the year, we have a strong pipeline of opportunities. As we have discussed in the past, the peak seasons for new customer adds is the second half of the year as enterprises gear up to make changes for the new benefit plan year. Appropriately, we focused our sales resources to substantially increase the number of new logos. Let me wrap up by saying, this is a critical year in our development as a company and we are laser-focused on execution. As you recall, our priorities for the year have included: ensuring the sales force is prepared to capitalize on the upcoming peak selling season; continuing to meet and exceed customer expectations to maximize renewals and retention rates; driving fast implementation, launching innovative new solutions; and expanding our ecosystem partnerships. We are making solid progress but still have work ahead of us to close out the second half of 2015 on a strong note and position the company for robust growth next year. With that, let me turn the call over to Nita for a further update on our new releases.
Nita Sommers - Chief Strategy Officer: Thanks. As Gio mentioned, we continue to reap the benefits of having built an extensible platform for growing our platform organically through ongoing investment in our existing offerings, new product innovations that can be monetized like Castlight Elevate and by bringing new partner solutions to our customer base. Let me start with investments in our core EHM platform. Castlight Pulse and our new mobile app are good examples of the ongoing investment we're making in the core offerings. Castlight Pulse gives employers real-time visibility into what employees are searching for, who is engaging and how customers compare to peers. It is our first HR-facing application, and we believe analytics is essential to enabling our customers to effectively manage healthcare spend. We've also invested in a new Castlight mobile application that we can continue to deliver industry-leading employee engagement. Both of these innovations are a good example of how we continue to differentiate our comprehensive EHM offering from transparency solutions. Elevate is an example of our ability to innovate premium products on top of the core platform. With Elevate, for the first time, we can begin to tackle behavioral health in a tangible way in the enterprise by guiding employees who may need services to the best care providers and programs. In the first half of the year, we presented Elevate to only a handful of our flagship customers and have received very positive interest and uptake among some of our largest customers. We will begin to offer Elevate more broadly to our customer base and prospects in Q3. Beyond our organic innovations, Q2 was also notable in terms of the ways we have begun to work with partners to bring a broader set of innovations to our employers. With our large customer footprint, national sales force and our EHM platform, we increasingly can play a role in helping employers identify top vendors in adjacent spaces enabling them to benefit from deeper levels of integration. For example, as we previously announced, we made a strategic investment in and established a business alliance with Lyra Health. Lyra is a start-up focused on combining technology with a human touch to help patients with serious mental health issues. For joint customers, Lyra will integrate with Castlight Elevate. With this partnership, Castlight and Lyra will be able to better tackle the complex challenges of behavioral health for employers in a comprehensive way. In addition to the Lyra relationship, we have also begun to leverage our sales channel by reselling solutions from other partners that provide us with additional touch points to talk about proprietary Castlight products. Our first reseller relationships are in the benefits education space, and we are considering a number of other areas as well. Going forward, we will continue to leverage our privileged position in the healthcare enterprise to seek opportunities to expand our platform. With that, let me turn the call over to John for a review of our financial results.
John C. Doyle - Chief Financial Officer: Thanks, Nita, and good afternoon, everyone. We had a solid second quarter of 2015, a record number of implementations during the quarter helped drive strong revenue growth and from a sales perspective, we were pleased with the early demand for our newest products. As Gio said, we added seven net new customers in Q2 and as in Q1, we again had good success cross selling our newer products to existing customers in our installed base. Overall, both bookings and net dollar retention in the first half of this year were well ahead of last year's totals for the same period. We're especially pleased that we have been able to grow total bookings during a period of transition in our sales organization. As our ramp sales capacity increases and seasonal tailwinds turn in our favor in Q3, we continue to believe that we're in a good position to drive solid bookings growth overall for the year. As reminder, we plan to complete the first customer implementations of our newest products late this year, so we do not expect sales of these products to contribute meaningfully to revenue and billings until early 2016. Sales of these new products, including Castlight Elevate, made up a larger portion of our bookings in the first half than we anticipated, and we have factored this into our forecast for 2015 which I will discuss when we get to guidance. Let's turn to our second quarter financials. Total revenue of $18.5 million in the quarter was up 76% year-over-year. Subscription revenue, which constituted 93% of total revenue in Q2, increased 80%. The increase in revenue was driven by good progress on implementations of our existing products over the last year. In particular, we've seen record number of launches in both quarters so far this year. In Q2, we completed 39 total launches including 21 new customer launches and a record 14 launches of Castlight Pharmacy. Reducing implementation time lines has been a key focus for us this year, and we are making good progress. By early next year, we expect the typical launch time line across all of our products to be averaging six months. As expected, gross margin was flat sequentially in Q2 at 58%. This represents significant progress compared with Q2 last year when our gross margin was 33%. We are continuing to invest in data infrastructure to enable more efficient implementations of Castlight Pharmacy and to set up our newest products to scale well from a data perspective after they launch. These investments will likely lead the flat or nominally lower gross margins for the balance of the year. Our long-term gross margin target remains 70% to 75%, and we continue to be confident in that forecast. Total operating expenses were $28.4 million in Q2 which was an increase of 27% compared with the second quarter of last year. Sales and marketing expenses were $15.6 million in Q2 which was 13% higher than the year-ago quarter. The increase is primarily a function of higher compensation cost as we've grown our sales and marketing teams. Our goal is to build a differentiated distribution capability that combines deep enterprise software expertise with healthcare domain knowledge. We think this is a key strategic capability and an important driver of long-term growth for the business. R&D expense was $7.2 million in Q2 which represented an increase of 44% year-over-year. The increase in R&D expense reflects successful efforts to expand our product and engineering teams. Our sustained investment in R&D has yielded a steady flow of innovations of the core Castlight platform and also new products that add value for our customers, as Nita talked about a few minutes ago. G&A expense was higher than we planned in Q2 due to a concentration of cost, primarily related to new facilities, corporate development activities and the start-up of our internal talent acquisition team. G&A expenses were $5.6 million in the Q2 which was up 59% compared with Q2 last year. Given the non-routine nature of the incremental costs in Q2, we expect G&A expense to decline sequentially in Q3. Our Q2 net loss was $17.5 million compared to a net loss of $18.8 million in the second quarter of 2014. We ended Q2 with $164.4 million in cash and investments. Cash used in operations was $17.2 million in the second quarter of 2015 compared with $19.6 million in the same quarter a year ago. We continue to believe that it's important for us to reach cash flow breakeven by early 2017, and that's still our plan. Turning now to guidance. For Q3, we expect total revenue of between $19.2 million and $19.5 million, a non-GAAP operating loss in the range of $16 million to $17 million and a non-GAAP net loss per share of $0.17 to $0.18 based on 95 million weighted average basic and diluted shares outstanding. For the full-year 2015, we continue to expect total revenue of between $74 million and $77 million. Although based on our latest forecast including the expected timing of our new product launches, full-year revenue is tracking to the midpoint of the range. We are also maintaining our full-year non-GAAP operating loss guidance of $64 million to $67 million and a non-GAAP net loss per share of between $0.66 and $0.71 based on 95 million to 97 million weighted average basic and diluted shares outstanding. Overall, we're pleased with our progress across the business in the first half of the year particularly the strength we've seen in renewals and cross-sells. Our long-term growth strategy rests on our ability to build an indispensable platform for employers to manage their healthcare costs to the uptake of new innovations is great to see. More near term, as Gio noted, we are focused on building momentum heading into next year, and this primarily means driving solid bookings growth in the second half of the year as well as continuing to improve implementation time lines. With that, Gio, Nita and I will be happy to take questions.
Operator: . And our first question comes from the line of Robert Jones from Goldman Sachs.
Adam C. Noble - Goldman Sachs & Co.: Hi. Thanks for the question. This is Adam Noble in for Bob. Is there any sense you could give us from the magnitude of the bookings growth for the first half? And given that you guys only sign 7 customers in 2Q versus 14 last year, would it be fair to say that more than 50% of the 2Qs bookings came from upsells?
John C. Doyle - Chief Financial Officer: Hi, Adam it's John. Thanks for the question. So yeah, significant proportion of the first half bookings came from cross-sells, which is terrific, in terms of the interest that folks are showing in the new products. Clearly on the new logo front, we saw less new logo addition than we were looking for in the first half of the year but not totally unexpected given the transition of the sales force, and we're really looking to the third quarter to accelerate customer adds and new logos. And we think we're in a good position to do that.
Adam C. Noble - Goldman Sachs & Co.: Fair enough. And you mentioned the third quarter, any sense you could give us one month in, how bookings execution has been both on new logos and upsells?
Giovanni M. Colella - Co-Founder & Chief Executive Officer: Yeah. Thanks, Adam. This is Gio. The nature of our business, like most enterprise software, is that we close our bookings at the end of the quarter. So, we are now laser-focused. We have a great national footprint with our sales force. They're coming up to speed fast. We have a robust pipeline, and we are following this very, very closely.
Adam C. Noble - Goldman Sachs & Co.: Okay. And if I can just sneak one more in on the sales force, you mentioned that they're mainly up to speed at this point. Is there any quantitative or anecdotal update on sales force efficiency or lead generation you can speak to and how have conversion rates been on some of the more mature backlog you guys had spoken to before the recent sales force reorg?
John C. Doyle - Chief Financial Officer: Yeah, Adam. So broadly speaking, the things that we've been focused on executing in the first half with the sales force have been operational items like, first of all, getting the group hired, which we did, and then going through a very disciplined structured process to get folks ramped. As you know, it takes about six months. And we are on track to have folks ramping up during the course of the third quarter. Remember, they were hired in the first quarter. I can comment on sales capacity which was down in the first half relative to the year-ago period, simply as a function of the transition that we've talked about before. So, really, I think the focus in Q3 is absolutely on ramped capacity, and we think we're in a good position there. Efficiency is really something that I'd kind of point you to 2016 on. Right now, we're focused on getting this new sales force up and going.
Adam C. Noble - Goldman Sachs & Co.: Thanks a lot.
John C. Doyle - Chief Financial Officer: Thank you, Adam.
Operator: Our next question comes from the line of Brad Reback from Stifel.
Adam C. Borg - Stifel, Nicolaus & Co., Inc.: Hey, guys. This is Adam Borg actually in for Brad. Thanks for taking our questions. I guess just quickly on Lyra Health, maybe talk a little bit more about the go-to-market strategy and how the two products are complementary?
Giovanni M. Colella - Co-Founder & Chief Executive Officer: Yeah. Thank you, Adam. This is Gio. I really appreciate the question. Behavioral health is a very strong passion of mine. As you probably know or not know, I'm a trained psychiatrist, and it's a space that we've looked at in detail and we believe it's an enormous space. Let me just give you an idea of the magnitude of the space. About 30% of Americans by the DSM-5 criteria have behavioral health issues, and 15% of worker comp is anxiety, substance abuse related. So, we enter the space. No one company can solve all this problem alone. So, I'm not going to comment too much on the product of Lyra Health because they're pre-commercial, and it's up to them to talk about what they do. What I can tell you is we are extremely excited about the partnership. We're seeing a lot of interest. It's a very complementary product to ours, and we will put a lot of energy in going to market together.
Adam C. Borg - Stifel, Nicolaus & Co., Inc.: Got it, great. And maybe just one more, Gio, in terms of the recent consolidation that we see in the healthcare space with the payers, how does this really impact Castlight?
Giovanni M. Colella - Co-Founder & Chief Executive Officer: Yeah. Thank you, Adam. Yes, there is a lot of consolidation, and I wish I knew what this means for the overall healthcare system overall. Let me give you our view of this and how we thought about it. Six years ago, Todd Park and myself started Castlight because we strongly believed that healthcare needs a technology platform that enables employers to provide the best care, the lowest quality (sic) cost (21:56), make educated choices and optimize the deliverable of all the programs that they have, and last but not least important, provide the benefit executive with analytical know-how on how to optimize their healthcare. And this didn't exist. And we believe that the economic and structural forces that encouraged us to start the company then are even stronger today. And therefore, we are extremely excited one payer, two payer, three payers doesn't change the macroeconomic view that we have, and we also believe that consolidation doesn't necessarily and sometimes actually means less innovation which also enhances our opportunities.
Adam C. Borg - Stifel, Nicolaus & Co., Inc.: Great. And just, I guess, the last one from our end. Any update on how the new United Healthcare relationship's going? Great. That's it from us.
Giovanni M. Colella - Co-Founder & Chief Executive Officer: So let me – I want to be very specific of what the United relationship is. We don't have a partnership with United. We have agreed with United on a process that allows Castlight to support mutual customers. So when a customer is a Castlight customer and is using United, United has put in place a process for which they can transfer data and we can work with that customer.
Adam C. Borg - Stifel, Nicolaus & Co., Inc.: Great. Thanks again.
John C. Doyle - Chief Financial Officer: Thanks Adam.
Operator: Our next question comes from the line of Zack Sopcak from Morgan Stanley.
Zack W. Sopcak - Morgan Stanley & Co. LLC: Hey. Good afternoon, guys. I wanted to ask first about deferred revenue. Sequentially, it looks like it was up around $600,000. Could you just talk a little bit about that, is that correct and what that trend means? It seems like it was a little bit lower than it's been in the last few quarters.
John C. Doyle - Chief Financial Officer: Yeah. Thanks, Zack. So a couple of things to say there and really linked to the commentary that we made earlier about the cross-sells. So, the cross-sells are going to be implemented later this year, and our billings typically are triggered by implementations. And so, some the activity in bookings that we saw in the first half, which in a more typical period you might have expected to come from current products where billings would have been driven more quickly, the mixed shift to cross-sells pushed some of those bookings into the later part of the year. So that's really the explanation there. You do have the numbers right.
Zack W. Sopcak - Morgan Stanley & Co. LLC: Got you, thank you. And then you gave the statistic about a quarter of clients have three or more products. Can you put that in a historical context of what that might have been like end of last year or this time last year?
John C. Doyle - Chief Financial Officer: Yeah, sure, happy to. So, let me break it down a little bit for you. So, the most penetrated product in the portfolio is Castlight Pharmacy. That has been pretty steady at 70% over the last year. We've seen Castlight rewards over that period ticking up from closer to 10% to now closer to 20%. We've also seen recently Dental still in the single digits, but it wasn't penetrated at all obviously a year ago. We're seeing that now into the high-single digits. And so, in terms of the macro stat where we talked about companies, about a quarter of the companies in the portfolio having three of more products, that's moved up from about a fifth to a quarter over that period.
Zack W. Sopcak - Morgan Stanley & Co. LLC: Great, thank you. And one more if I could just sneak in, you talked about tracking towards the midpoint of revenue guidance. If I understood it correctly, I think it had to do with the time it will take to roll out or implement Elevate. Could you just clarify that, like what would take you to the high end of that guidance on the top line?
John C. Doyle - Chief Financial Officer: Sure. So, the variability in our revenue forecast is very heavily linked to implementation time lines as you're pointing out. And so, the guidance for revenue heading towards the midpoint is based again on this mixed shift in the first half towards cross-sells that'll be implementing at the later part of the year. The opportunity to do better than is simply a function of those implementations potentially happening faster than the latter part of the year. But our current forecast is that they would be late in the year. And so, the good news there, a couple of things. One is, it sets us up well for 2016. We think that's good momentum heading into next year. And then more broadly, in terms of what it says about business, we are really pleased to be able to drive bookings growth through a period of sales transition on the basis of strong interest in these new products. So we're very pleased with that.
Zack W. Sopcak - Morgan Stanley & Co. LLC: Okay, great. Thank you.
John C. Doyle - Chief Financial Officer: Thanks, Zack.
Operator: Our next question comes from the line of Brian Peterson from Raymond James.
Brian C. Peterson - Raymond James & Associates, Inc.: Thanks for taking my question. Just wanted to hit on your implementation investments a bit. I know that's been a focus area in the last couple of quarters. Can you talk about where you are in terms of implementing maybe some of your not necessarily core but more, I guess, what I would call, legacy products like Pharmacy and Rewards and where you could be as you go out to the fourth quarter and in 2016 in terms of implementing the newer products like Elevate? Are there more investments required to get that implementation capacity up to speed, or have you been investing broadly in capacity for all new products?
John C. Doyle - Chief Financial Officer: Thanks, Brian. So, let me start with Pharmacy since that's the one that we talked about earlier in the year and that we were providing an update on today. Making great progress on the investments in operationalizing the Pharmacy implementations, confident at this point that the implementation time lines for Pharmacy will be averaging six months like our core essentials product implementation. We're already seeing good acceleration there, so we're in a great spot. In terms of the newer products like Elevate, initially, the launch time line for deployment of the first few customers is longer than our six months. It's closer to nine months in these cases. But we've built those products to scale. We learned a lot from the experience with Pharmacy. And very soon after their launch by Q1 2016, we expect the time lines for implementation of those new products to be around six months as well.
Brian C. Peterson - Raymond James & Associates, Inc.: Got it, understood. And just I may have missed it, but did you give the number of fully launched customers exiting 2Q?
John C. Doyle - Chief Financial Officer: We haven't. It's more than – I think more than – one second let me – a few more than 150 at this point.
Brian C. Peterson - Raymond James & Associates, Inc.: Okay, great. Thank you.
John C. Doyle - Chief Financial Officer: Thanks a lot.
Operator: Our next question comes from the line of Stephen Lynch from Wells Fargo.
Stephen B. Lynch - Wells Fargo Securities LLC: Hey, guys. Thanks for taking the questions. It looks like the cash used in operations for the first half of the year was about $30 million, thus far, which looks like it was more than halfway to the high end of that $44 million to $47 million range. Just curious, how should we think about the burn rate for the remainder of the year?
John C. Doyle - Chief Financial Officer: Yeah. Thanks, Stephen. So, a couple of pieces to the cash burn, obviously spending and billings. First thing to point out is that we're on track on the spending side and our net loss guidance held at the range that we had talked about before. Billings are behind our plan. And again, I'm a bit of a broken record on it, but it's really a function of the success we had on cross-sells in the first half. Those are implementing late in 2015 which triggers the billings there. And another nuance with those cross-sells is that at this point, the initial demand or the initial sales have been into our largest customers and the billing terms with those largest customers are just a bit more than a month in advance, whereas the overall average in our portfolio, I think, as we've told you before, is more than five months. And so, the effect of the implementation time line of the cross-sells and the billing terms of those customers has us behind on our billings plan for the year. Again, good news there is that interest in the new products is great. It gives us momentum heading into 2016. I think from a cash flow perspective for the year, at this point, we're heading more towards $50 million-ish in terms of the net burn.
Stephen B. Lynch - Wells Fargo Securities LLC: Got you. And then either for you John or for Gio, just a bigger picture question. It seems like there's a lot of really robust cost transparency data that you and other competitors provide to the marketplace. But it seems like maybe the data on the quality of providers, whether it's empirical data, referral patterns or based on patients reviews, it seems like that is a little harder to come by. Can you just give us a refresher on what data sets you're using or building to drive the quality information? And then maybe as a follow-up to that, how important do you see quality data as a differentiator in the marketplace?
Nita Sommers - Chief Strategy Officer: So actually this is Nita. I'll take this one. It's a great point, so a lot of our employers actually care deeply about quality. Not all of them are just focused on driving down cost. Many of them care just as much about the health of their employee and getting their employees into high quality systems of care. So, we've actually been focused on quality for a number of years at Castlight. I think we were one of the first companies to really actually come out with quality transparency data around both facilities as well as providers. And so, we've had a robust roadmap in that particular area. I think that there is some opportunities generally in the industry to keep improving that data set. But one of the exciting things as we're building out the EHM platform is now that we have more and more data, we can really start to think about how we bring kind of a new frontier to quality measurement out here now that we have larger and larger data set. So, great point well taken and something we're very focused on as an organization.
Stephen B. Lynch - Wells Fargo Securities LLC: Very good. If I could sneak in one more really quick. I'm just curious if you could give us some color on what you're seeing in terms of pricing for the core EHM platform heading into the 2015 selling season. Are you seeing any pricing inflation to the upside, maybe pricing pressure or is it essentially unchanged year-over-year? Thanks.
John C. Doyle - Chief Financial Officer: Yeah, great. So, our strategy has been to add products and grow our deal sizes as well as the per-seat economics over time, and we're doing both. So, bookings in the first half of the year on fewer logos were actually up. So, deal sizes are going up. Per-seat economics are going up as well. That premium pricing is driven by a differentiated solution in the marketplace that I think continues to be a very strong leadership position that's delivering great economics.
Stephen B. Lynch - Wells Fargo Securities LLC: Thanks.
John C. Doyle - Chief Financial Officer: Thank you.
Operator: Our next question comes from the line of Frank Sparacino from First Analysis.
Frank Sparacino - First Analysis Securities Corp.: Hi, guys. John, maybe for you. Just remind me again from a bookings perspective, the first half of the year in terms of its weighting relative to the overall bookings for the year?
John C. Doyle - Chief Financial Officer: Sure. So for the last couple of years, we've seen roughly a third of our bookings for the year get completed in the first half, and that proportion holds this year. We grow very strongly on a year-over-year basis overall for 2015, and that's certainly what we're focused on doing.
Frank Sparacino - First Analysis Securities Corp.: And from a sales capacity standpoint, can you just give us a sense as to how much more there is this year versus last year entering the second half of the year?
John C. Doyle - Chief Financial Officer: Well, the sales capacity year-over-year in the first half was down. That was a function of the sales force transition that we talked about. We will be rolling ramped reps in, if you will, over the course of the third quarter, if you assume that our six-month ramp time line is a precise measurement of folks coming up to speed. We will be up by the end of Q3 on a year-over-year basis from a ramped sales capacity perspective. But beyond that, I don't want to get into the specifics.
Frank Sparacino - First Analysis Securities Corp.: Okay. And lastly from me, just are there any significant renewals in the second half of 2015 that we should be aware of?
John C. Doyle - Chief Financial Officer: So, renewals has been a real highlight so far in 2015. We've grown our relationships with renewing customers very successfully. Looking through the balance of the year, we do have a few more important renewals to go, and we feel very well positioned on all of those. So from a net dollar retention perspective overall for the year, we're in a very strong position. Again, a few to go but we feel very well positioned. And obviously, we're having conversations about these renewals well in advance; in most cases, a year or so in advance. So again, we do feel quite confident.
Frank Sparacino - First Analysis Securities Corp.: Thank you.
John C. Doyle - Chief Financial Officer: Thanks a lot.
Giovanni M. Colella - Co-Founder & Chief Executive Officer: Okay. Well, thank you all for joining us today. We really appreciate your attention and your questions. We are set out on an important mission to leverage technology, to help employers better understand and manage their healthcare spend. We are keenly focused on execution and are pleased with the progress we are making to build the leading enterprise healthcare management company. We look forward to speaking with many of you in the coming days. And we will also be at the Pacific Crest and Canaccord Genuity conferences next week. So we'll see some of you there. Thank you again for your time today.
Operator: This concludes today's conference call. You may now disconnect.